Operator: Good morning, and welcome to the Annaly Capital Management Fourth Quarter 2020 Earnings Conference Call. All participants will be in listen-only mode.  After today’s presentation, there will be an opportunity to ask questions. . Please note this event is being recorded. I would now like to turn the conference over to Sean Kensil, Vice President, Investor Relations. Please go ahead.
Sean Kensil: Good morning, and welcome to the fourth quarter 2020 earnings call for Annaly Capital Management.  Any forward-looking statements made during today’s call are subject to certain risks and uncertainties, including with respect to COVID-19 impacts, which are outlined in the Risk Factors section in our most recent annual and quarterly SEC filings. Actual events and results may differ materially from these forward-looking statements. We encourage you to read the disclaimer in our earnings release in addition to our quarterly and annual filings. Additionally, the content of this conference call may contain time sensitive information that is accurate only as of the date hereof. We do not undertake and specifically disclaim any obligation to update or revise this information. During this call, we may present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our earnings release. As a reminder, Annaly routinely posts information for investors on the company’s website, www.annaly.com. Content referenced in today’s call can be found in our fourth quarter 2020 investor presentation and fourth quarter 2020 financial supplements, both found under the Presentations section of our website. Annaly intends to use our webpage as a means of disclosing material non-public information for complying with the company’s disclosure obligations under Regulation FD and to post and update investor presentations and similar materials on a regular basis. Annaly encourages investors, analysts, the media and other interested parties to monitor the company’s website in addition to following Annaly’s press releases, SEC filings, public conference calls, presentations, webcasts, and other information it posts from time to time on its website. Please also note this event is being recorded. Participants on this morning’s call include David Finkelstein, Chief Executive Officer and Chief Investment Officer; Serena Wolfe, Chief Financial Officer; Ilker Ertas, Head of Securitized Products; Tim Coffey, Chief Credit Officer; Mike Fania, Head of Residential Credit; and Tim Gallagher, Head of Commercial Real Estate.  With that, I’ll turn the call over to David.
David Finkelstein: Thank you, Sean. Good morning, everyone, and thanks for joining us for our fourth quarter earnings call. Today, I’ll provide an update on the broader market, our capital allocation trends, including credit activity and our outlook. Ilker Ertas, our Head of Securitized Products, will follow-up with specific commentary on our agency and hedging activity, and Serena will review our financial results. And as Sean noted, our other business heads are also present to provide additional context during Q&A.
Ilker Ertas: Thank you David. As David mentioned, the agency portfolio had a strong quarter supported by healthy investor demand, both low implied and realized interest rate volatility, and steepening yield curve. Lower coupon TBAs were the strongest performing part of the agency market as they benefited directly from Fed purchases; however, in contrast to prior episodes of QE, specified pools have also demonstrated solid performance. Given the current elevated prepayment environment, the desire for more cash flow certainty and a strong bid for longer duration mortgage assets, we are seeing the level of pay-ups withstand higher rates and steeper curve experienced over the quarter and into 2021. 
Serena Wolfe: Thank you Ilker, and good morning everyone. Before I get started with the numbers, I just wanted to comment that December 2020 marks my first year with the company as CFO. Over the year, the company performed exceptionally well given the challenges we face. Our resulting performance during 2020 reinforced the reasons I was compelled to join the Annaly team, which include our human capital, differentiate risk culture, and robust infrastructure built around the businesses in terms of finance, legal, technology, and other support functions.  During 2020, Annaly demonstrated a 23-year-old company’s steadfast nature while exhibiting an adept industry leader’s agility. With that as a backdrop, today I’ll provide brief financial highlights for the quarter ended December 31, 2020 and discuss select year-to-date metrics. While our earnings release discloses both GAAP and non-GAAP core results, I’ll focus this morning on our core results and related metrics, all excluding PAA. As David mentioned earlier, the primary drivers of performance were an extension of themes from last quarter. We took advantage of the interest rate and financing environment to generate strong results while prudently managing leverage. To set the stage with some summary information, our book value per share was $8.92 for Q4, a 2.5% increase from Q3. Book value increased on GAAP net income partially offset by the aggregate common and preferred dividends of $344 million or $0.25 per share, and other comprehensive loss of $215 million or $0.16 per share. We generated core earnings per share excluding PAA of $0.30, a decrease of 6% or $0.02 per share from the prior quarter. Our core earnings also represent 140% of our dividend, and we saw back-to-back quarters of 13%-plus of core ROE. Combining our book value performance with the $0.22 common dividend we declared during Q4, our quarterly economic return was 5.1%. We generated a full year economic return of 1.76% and a total shareholder return of 2.43%. While down compared to prior years, we are proud of our positive 2020 return given the unprecedented market conditions we faced earlier this year. Delving deeper into the GAAP results, we generated GAAP net income of $879 million or $0.60 per common share for Q4, down from $1 billion or $0.70 per common share in the prior quarter. GAAP net income decreased primarily due to lower realized gains on investments resulting from fewer agency MBS sales in Q4 versus Q3; however, GAAP net income benefited from higher unrealized gains on interest rate swaps driven by higher rates. Additionally, we recorded higher gains on other derivatives, largely futures, offset by lower gains in fair value option loans and securities and lower interest expense on lower average repo rates, down to 35 basis points from 44 basis points, and lower average repo balances, down to $65.5 billion from $67.5 billion. Moving on now to CECL reserves, in the current quarter we continue to see a general improvement in market sentiment and the economic models we use in this process. Total CECL and specific reserves were relatively consistent with prior quarters. As we continue to provide transparent disclosure, we’ve included a slide in our investor presentation that provides additional color and detail on the assumptions utilized in evaluating our CECL reserves.  We recorded an immaterial increase in reserves primarily associated with our commercial real estate business of $1.5 million on funded commitments during Q4 driven by an increase in specific reserves, partially offset by a decrease in the general CECL reserve. Total reserves net of charge-offs now comprise 4.48% of our  and MML loan portfolios as of December 31, 2020 versus 4.56% as of the prior quarter end. We remain comfortable with our existing credit portfolios and the associated CECL reserve and will continue to monitor specific asset performance and economic projections as we determine future reserves. Turning back to earnings, I wanted to provide more detail surrounding the most significant factors that impacted core earnings quarter over quarter. First, consistent with my commentary around GAAP drivers, interest expense of $94 million was lower than $115 million in the prior quarter due to lower average repo rates and balances. TBA dollar roll and CMBS coupon income of $99 million was lower than $114 million for the third quarter due to slightly more modest specialness in the fourth quarter. We had increased expenses related to the net interest component of interest rate swaps of $67 million relative to $63 million in the prior quarter as the swap portfolio reset to lower market receive rates and two high strike receiver swap expires. Finally, we experienced a continued improvement in G&A expenses. On the financing front, our all-in average cost of funds this quarter was 87 basis points versus 93 basis points in the preceding quarter. The fourth quarter brought the full year average cost of funds to 1.34% versus 2.25% in the prior year.  Our weighted average days to maturity are down compared with the prior quarter at 64 days versus 72. Our Q4 weighted average days’ slight reduction compared to Q3 results from the natural roll down from our longer duration repo trades we executed in prior quarters. Our treasury group’s view in the latter part of last year was that term curve would continue to flatten. What I can tell you is that we set this view based upon the Fed’s forward guidance on remaining at the zero lower bound into 2023, as well as a meaningful increase in already abundant reserves in the system in 2021 from both continued QE and a draw down in treasury general account balances. As we’ve ended the new year, this view has come to fruition as one-year bilateral term repo for agency MBS can be locked in in the upper high teens currently. Consequently, we are beginning to add duration to our repo book this quarter.  Concerning credit financing, we see further improvement in repo terms for our credit securities with increasingly lower haircuts and tighter spreads. We have also renegotiated our warehouse facilities to support our direct lending businesses proactively and have realized cost savings accordingly.  The portfolio generated 198 basis points of NIM, down from 205 basis points as of Q3 driven primarily by the decrease in average asset yields and reduced dollar roll income, offset by the decline of the cost of funds that I mentioned a moment ago. As a management team, we focus on providing value to our shareholders, including a keen eye on the company’s expenses. Having said that, we continue to see improvement in our efficacy ratios, being 1.27% of equity for the fourth quarter in comparison to 1.32% in Q3 of 2020, and 1.62% for the full year compared to 1.84% for the prior year. The 2020 annual OpEx results are within the range of expected cost savings disclosed in Q1 with our internalization transaction announcement, and I would reiterate the 1.6% to 1.75 OpEx target we disclosed last year as an appropriate benchmark. To wrap things up, Annaly ended the quarter with an excellent liquidity profile with $8.7 billion of unencumbered assets, consistent with prior quarters of $8.8 billion, including cash and unencumbered agency MBS of $6.3 billion.  I’ll now turn it back to David for some closing remarks before opening it up for Q&A.
David Finkelstein: Thanks, Serena. Lastly, before we move onto Q&A, I thought I’d provide broader perspective in two areas. First, there is an abundance of metrics that underscore a growing disconnect between valuations and fundamentals. Broadly, market indices are reaching historical records and consensus calls for them to continue to rise, the S&P 500 at 40 times earnings, high yield credit and the proximity of all-time tight spreads, and the $81 billion of SPACs raised year as liquidity has flowed further out the portfolio balance channel. Annaly, however, continues to be a source of responsible yield in a market where it’s increasingly challenging to deploy capital. As I mentioned at the outset, the fundamentals are positive for Annaly investors with a low cost, stable financing environment and upward sloping yield curve, low interest rate volatility, and a strong supply and demand backdrop for our assets. We’ve seen our book value continue to strengthen into 2021 and have out-earned our dividend for the past few quarters. We are delivering a dividend yield of over 10%, in line with our historical average, while the S&P 500 earnings yield of 2.5% is the lowest it’s been in the past decade.  Annaly represents one of few countercyclical or acyclical yield strategies that are less at risk to the pace of economic recovery. Additionally, we provide equity portfolio diversification without sacrificing returns while money market funds earned zero and real treasury yields are at near record lows. As unforeseen events will once again shift investors’ focus to fundamentals, balance sheet strength and earnings stability will be coveted. Secondly, we have talked about leading with purpose this year in response to the trying societal and economic climate that marked 2020. At Annaly, our mission is to utilize our capital to generate attractive returns and support the American homeowner. To that end, we have kept our focus on the individual needs of our borrowers and supported government policies to extend forbearance periods. We have used our human capital to meaningfully contribute to the communities where we live and work. Through our corporate philanthropy initiatives, we have focused on partnerships with high impact programs that seek to combat homelessness, provide food security, and advance women and underrepresented groups in the workforce. Annaly employees have volunteered their time and energy to serve vulnerable New Yorkers in their hour of need, and our culture of responsible investment with respect to where we invest both our dollars and time is something we’re very proud of, and it has undoubtedly yielded a consider impact for our overall stakeholders. With that, operator, we can open it up to Q&A.
Operator: Thank you. We will now begin the question-and-answer session.  And the first question will come from Steve Delaney with JMP Securities. Please go ahead.
Steve Delaney: Good morning, everyone, and thanks for taking my question. David, based on your comments and Ilker’s, I would certainly conclude that in the first quarter, we heard the word tightening several times, yields compressing, so it would indicate to me that unless something on the derivative side came into play, that your book value for Annaly should have moved higher in the first six weeks of the year. And wondered if you could offer any observation on that.
David Finkelstein: Sure. Hi, Steve, and good morning. Yes, our book value has moved up. As of Tuesday, we were up roughly 3.5% on the quarter, partially attributable to your point on spread tightening, but also portfolio positioning in terms of a bias towards a steeper curve, as well as up in coupon, which has outperformed lower coupons thus far this year. So there’s still half the quarter left to go, but we feel pretty good about where we’re at now.
Steve Delaney: Appreciate you sharing that. We’ll adjust the comp table immediately. And then just looking over – on Page 3 of the deck and looking at the credit book a little bit, it seems like there was growth in virtually every credit bucket that I could determine, especially, as you highlighted, in the residential loan areas, but CRE debt did decline about $80 million. And is that a trend that we should expect to continue? And if so, what would change you and Tim’s outlook for when to step back into that market? Thanks.
David Finkelstein: Sure, I’ll start off and then pass it off to Tim. Look, it’s still early in terms of the CRE recovery. We’ve stressed that on past calls, given the dynamics with respect to the virus and how we’re using commercial real estate as a society. And the notable decrease in the portfolio is attributable to a sale of part of our healthcare facilities, as I mentioned, which we basically took advantage of a very good opportunity to deliver a profit on that. We did again return to the origination front in the fall and did get a couple of deals done, but we also had a little over $100 million in run-off, so, yes, it decreased marginally. It was opportunistic. And with respect to the outlook on CRE, I’ll pass it over to Tim.
Tim Coffey: Yes, I think that’s right. I think this is a one-quarter look as to sort of what happened in the fourth quarter with respect to that sale. We’re being cautious about where we deploy capital. Like a lot of people in our space, we’re focused on industrial and multi-family. And to the degree that we can find good opportunities there, we’re doing that. So I wouldn’t read a whole lot into the decrease in one particular quarter. As the market continues to heal, we’ll continue to look at opportunities.
Steve Delaney: That’s helpful. Thank you both for the comments.
David Finkelstein: You bet, Steve.
Operator: And the next question will come from Rick Shane with JPMorgan. Please go ahead.
Rick Shane: Hey, guys, good morning, and thanks for taking my questions. Look, I think that there are lots and lots of silver linings here. But, David, you said something that was kind of interesting in terms of reducing--or staying at the lower end of leverage. We’re in an environment now where rates are exceedingly low, yields are exceedingly low, and that has a historical precedent of not necessarily ending, particularly well because it sucks so much liquidity into the system. I’m curious to sort of hear your touch of gray theory on lower leverage and how you’ll be defensive through this period?
David Finkelstein: Yes, it’s a great question, Rick. And yes, we are at the lower end of our leverage. We do feel like we still have in 2021 a fair amount of runway for carry and agency MBS to dominate the day. But again, asset spreads across sectors are tight, and we have to be very mindful of yields and spreads. And to the extent that there is some local shake-up in terms of spreads or any market volatility, we want to be prepared for that eventuality. Now, that’s not to say we would keep leverage at these low levels, but we are a ways away from spread widening that would suggest we’d increase it. And we just think it’s the right approach to maintain. We’re still generating a double-digit yield. It is providing the income for the shareholder, and we’re able to do more with less and we’re perfectly content to maintain that posture for the time being.
Rick Shane: Got it. And it is interesting because the last couple quarters, you’ve talked about very clearly a path to out-earning the dividend at this point. You didn’t make that comment this quarter. How do you feel in context of running with the lower leverage and some of the spreads tightening?
David Finkelstein: Sure. And so for the first quarter, we do expect to out-earn the dividend, but not to the extent we have in the last quarter, but we still feel very good about where core earnings are coming in at over the near-term. 
Rick Shane: Terrific. Thanks. And I apologize for the puppy yawning in the background.
David Finkelstein: We expect it now.
Rick Shane: Thanks.
David Finkelstein: You bet, Rick.
Operator: The next question is from Eric Hagen with BTIG. Please go ahead.
Eric Hagen: Hey, good morning, guys. Hope you’re well. A couple of questions here. Lots of numbers getting offered out there suggesting, I think, you said in your opening remarks, 75% of the market, I’ve heard upwards of 90% of the overall market and the money to refi. That feels aggressive considering how much turnover there already was last year. Can you weigh in on that and maybe just rationalize how strong you think the incentive is, including for various cohorts of specified pools?  And then on the portfolio, can you talk about where in the coupon stack you see the carry being strongest right now and which cohorts of specified pools you think offer the strongest value? Thanks.
Ilker Ertas: Sure. In terms of like refi incentive, what people use, and we also use a similar thing is like we just look at the gross coupon of the pool and as long as it’s like 75 basis points in the money, we called it, like, 50 basis points. As long as 50 basis points in the money, we call it 50 basis points in the money.  For example, if you take the primary rate as 275, clearly that’s the best borrowers are getting. Right now, you can say that around 77% of the universe is in the money. But you pointed out perfectly that not all guys get this 275, and out of these guys that have like problem with the refinancing. In fact, like we said in our prepared remarks that we are seeing some signs of burnout because everybody is not getting this. In terms of like specified pools, we are still finding opportunities in higher coupon, higher coupon meaning 2.5s and 3s in this case, loan balance pools with some other characteristics, for example, non-owner occupied and all that kind of stuff. So yes, there are still pockets of opportunities. But unlike the previous QEs, where only Fed was buying and specified pools were reasonably attractive, this time around banks are also buying, and that will make specified pools tighten in line, but there are still opportunities, as I said, loan balance with like some other characteristics.
David Finkelstein: Does that help, Eric?
Eric Hagen: Yes. Thank you guys very much.
David Finkelstein: Thanks, Eric.
Operator: The next question will be from Bose George with KBW. Please go ahead.
Bose George: Hey guys, good morning. Just wanted to follow up a little bit there on the returns, incremental returns. In terms of specialness, I think Ilker, you said expect modest specialness, could you just quantify that a little bit, and then just incremental ROEs that you’re seeing out of the specialized pools, and then if you just add it all up, can you get a double-digit return now in the market on incremental capital?
David Finkelstein: Hi Bose, this is David. To Ilker’s earlier comments, getting a double-digit yield is difficult. It was certainly achievable in TBAs in the latter half of 2020, but specialness has dissipated somewhat. We do expect it to remain prevalent, certainly while the Fed’s in, but I’d say we’re talking very high single digits on TBAs and in that context on pools we’re buying.
Bose George: Okay, great. That’s helpful. Then actually just switching over to the returns you’re seeing in NPLs and RPLs, when we look at the recent  deals, they’re selling at par. Can you just help us walk through the returns that you’re seeing from those assets?
David Finkelstein: Sure, I’ll start and then hand it over to Mike. This is something Mike talked about on our last earnings call in terms of that being a part of the resi sector that we’ve taken advantage of, and throughout the fourth quarter I think Mike was very active in acquiring RPL A2s at spreads that were meaningfully wider than where they are today. The trade is not quite as attractive now, but we certainly took advantage of it in Q4 and into Q1.
Mike Fania: Sure, thanks David. I would say in terms of the unrated NPL/RPL space, we still think that you’re able to achieve high single digit levered ROEs, and that’s on a prudent amount of recourse leverage. I would say the assets that we added throughout Q4, we think are probably closer to low, mid double digits, very low teens.  To maybe kind of frame that market right now, A1s are probably a 225 yield, so that’s 190, 195 ZV, and then RPL A2s, which has been more of a focus, not so much on the NPL A2s, call that 375 to 400 to the curve, and again probably right now very high single digits levered ROEs. In terms of CRT, we have been active. It’s mostly been seasoned pre-COVID M2s, so these assets are--you know, have unlevered spreads of 180 to 200, but they do have a number of redeeming credit characteristics - they’re one- to two-year weighted average life assets, very high-gross WACs, and you’re seeing significant deleveraging of those assets. I would say for both of these products, there’s been ample liquidity and balance sheet in terms of--you know, and we’ve continued to see terms tighten in given the landscape. So not as attractive as what we saw last quarter, but we still think that there are pockets of opportunity. 
Bose George: Okay, great. That’s helpful. Thanks.
David Finkelstein: You bet, Bose.
Operator: The next question comes from Doug Harter with Credit Suisse. Please go ahead.
Doug Harter: Thanks. Acknowledging that we haven’t even hit the one-year anniversary of the volatility, how do you think about your liquidity position today, and over the long term as markets continue to heal, what the right level for liquidity holdings in a normalized environment?
David Finkelstein: Yes, it’s a great question Doug, and we have talked about this a fair amount over the past. As I’ve said, we can’t unsee what we saw in March, and all of these episodes of volatility does have to inform your business model on a go-forward basis, so in light of this, we do think that the steady state level of leverage is lower than it was. The Fed’s not always going to be there and liquidity is paramount. We put ourselves in a very good position coming out of March and we’ve maintained that, and it’s not just about having reserves on the balance sheet to manage through volatility, it’s also about having opportunities to do things that others without the capital base or the liquidity that we have, that others can’t quite do, and when it comes to investing, for example, in Mike’s residential effort and being able to provide certainty of execution for originators with our liquidity, that’s confidence inspiring to our partners. They look at our balance sheet and they know that we’re in a place of strength, so there’s a lot of other benefits beyond just simply being able to manage through volatility. The same is the case on middle market lending, where Tim’s got a very unique business where he does have the liquidity of the REIT that conveys to its sponsors that we can do things that other lenders aren’t in a position to do, and as a consequence he can accomplish some pretty significant things in that business.  So there’s both a conservative aspect coming out of March, but there’s also an opportunistic aspect as we look forward in terms of just being able to do things with our liquidity and having that strong foundation that we feel good about. We think it will remain the case for the foreseeable future.
Doug Harter: Thanks. Then also just on the capital structure, how are you thinking about that going forward? Any other kind of changes that you would envision in the coming year?
David Finkelstein: Sure, and I talked about the call of our preferred, which we certainly feel very good about our overall capital structure, where 11% of our capital is in preferred with the rest entirely in common. It’s important to note with our existing preferred, where we issued that, the post reset spreads that will prevail are between 417 basis points and 490 basis points, and when you look at the forwards when those preferreds do reset, we’re talking about a preferred cost of capital in the context of 5%. The existing preferreds that we currently own, we feel good about, particularly with respect to that low cost of capital. Now, how we look at our overall capital structure is, as we said last quarter, there’s three forms of leverage. There’s first and foremost balance sheet leverage, then there’s structural leverage within the portfolio, and then there’s capital structure leverage. Currently right now, the best form of leverage is balance sheet leverage, and that’s a function of just the incredible amount of reserves in the system, and as a consequence that’s what we’re taking advantage of and that’s what we feel good about. Now with respect to structural leverage, it’s important to note that just the ample amount of balance sheet available in the system--you know, it hasn’t just affected agency MBS, but it’s also had an impact on other products that also use leverage, mainly very high credit quality assets like triple-As, and as a consequence--you know, for example, triple-A spreads across our businesses are very tight, so the way we look at that is, for example in our resi business in securitization, we can take advantage of the availability of balance sheet by selling triple-As and then retaining that structural leverage, and we get a benefit from that. But it all starts with the balance sheet leverage that’s available in the system. With respect to preferreds and the capital structure leverage, we’re not at a point in terms of where yields are on preferreds to where we would issue. We’d need a much greater spread between where we can invest, for example agency MBS versus the cost of pref in the market, so at these current spreads we don’t have an intention of increasing our structural leverage right now--or I’m sorry, our capital structure leverage.
Doug Harter: Great, thank you.
David Finkelstein: You bet.
Operator: The next question is from Kevin Barker with Piper Sandler. Please go ahead.
Kevin Barker: Thank you, good morning. Could you perhaps just give us a view on your appetite for acquisitions and what the market currently looks like, just given a lot of activity that’s going on in the capital markets combined with a bunch of disruption in various other lending categories? Just love to hear your view on what’s happening within M&A.
David Finkelstein: Sure Kevin. We have been acquisitive in the past. The way I look at it is there’s three catalysts for acquisition: number one is assets, number two is price, number three is the strategic fit. Now, there has been a couple of combinations that we’ve seen in the recent past, and candidly they’ve traded at prices that I wouldn’t characterize as compelling.  For us to acquire a company, provide liquidity, we’ve got to get paid for our time, operational risk of on-boarding of portfolio, and we’ve got to make sure that the assets fit what we want to do going forward. I will say it’s not as attractive today just given the pricing, but to the extent where there’s a disconnect between where we’re trading versus where somebody else may be trading, and there’s a need for our liquidity and we can do so profitably, we’ll absolutely consider the opportunity. Now, the third point of strategic fit is a third catalyst. If there is something out there that can accommodate our businesses, we would certainly look at it, but right now we feel we’re well equipped across all of our businesses to do what we need to do organically. To the extent that changes and there’s something out there, we’ll certainly look at it, but we feel very good about how our businesses are performing right now, and we’re in a good place.
Kevin Barker: Sure. Would you categorize the M&A opportunities or the amount of flow that you’re seeing to be equal or better than what you were seeing pre-pandemic levels, just given the state of the market today?
David Finkelstein: It’s episodic. That’s a hard question to answer candidly. We do expect there to be more M&A activity in this sector, and a lot of it does have to do with what occurred early last year in terms of depletion of capital across firms, so you get to a point where firms can really be inefficient because operating expenses relative to what type of returns can be generated are just not of scale, so I would expect there to be more activity in 2021. Again, to the extent it would work for Annaly, we would certainly look at it, but we’re not out there chasing companies to buy. But yes, you should expect more activity going forward.
Kevin Barker: Okay, thank you very much.
David Finkelstein: You bet, Kevin.
Operator: The next question will be from Vilas Abraham with UBS. Please go ahead.
Vilas Abraham: Hey guys, how are you? Interesting commentary on commercial bank bid for agency MBS. Just curious, how material do you think that is to where spreads are now, and how does that play out over the course of the year, and I guess maybe also tying that into what you guys are thinking about the Fed taper, and then on the back of those kinds of events, where could leverage go? Could it go higher as those events transpire? Thanks.
David Finkelstein: Sure Vilas. With respect to commercial banks, it has been a very strong bid in the market. In 2020, commercial banks were flush with deposits and there wasn’t a lot of lending activity to take advantage of, so banks had really the--you know, the direction they took was to buy securities. Between treasuries and agency MBS, they added over $750 billion in those sectors in 2020. Now, you compare that to prior episodes of QE and net securities growth for banks, for example in QE3, was roughly flat, even I think slightly negative if memory serves me correctly, so the point being is that banks have been a very strong bid for the agency sector - in the fourth quarter alone, about $200 billion; January, we just got data - another $75 billion in agency MBS, so they’ve been a strong contributor to the spread tightening, and we do expect that to continue. Now with respect to a taper, and that’s obviously gained a lot of conversation in the market over the recent past, I’ll say this is a very different environment in 2021 than what we experienced in 2013 with the taper tantrum. The Fed’s in a very different place and the market’s in a very different place. Now, the Fed learned a lot from the taper tantrum and, as a consequence, you see much greater transparency, better forward guidance, and they fully intend to prepare the market for a cessation or drop-off in purchases of securities, so we feel good about how the Fed is going to message to the market. The signaling we’ve got is that QE will exist in its current form through 2021, and we may get reason to think they’ll change that guidance depending on how the economy plays out. But we do think we’re a ways off from that eventuality. Now, another point to note is the market is in a much different place in 2021 than it was in 2013. In 2013, it was almost as if the market felt like it had a put option because of the Fed’s position, and obviously that turned out not to be the case. Here in 2021, I think the market is much more conservative and defensively positioned, and you see it in a lot of the data - for example, if you looked at some of the statistics about short positions on the CFTC, the market appears hedged, also JPMorgan puts out a survey about long versus short, and the market appears short from that standpoint, at least hedged. Then when you look at option pricing, the price of puts, the price of portfolio insurance in fixed income is meaningfully higher than the price of calls, so it does feel like the market is a little bit positioned for higher rates. Another point to note is the convexity profile, and the convexity in the market is better today. It’s not just about just the actual convexity in the instruments, but also who holds the agency MBS in the market, and that did contribute to a lot of the sell-off and spread widening in 2013. At the time, the Fed and banks owned roughly 50% of agency MBS in 2013, with the rest of the market owning the rest, and a lot of the rest was hedged. REITs were more levered, and so there had to be more activity with the sell-off at that point. Today, banks and the Fed own 63% of the universe at year end. Now, if we fast forward to how this year should play out, if bank demand is consistent with what it was last year and the Fed maintains its pace, then that number will grow to 70% of the agency MBS in the market, and again the Fed doesn’t hedge convexity and banks hedge very little of it, so we feel like the market is better prepared. The Fed is doing a much better job of messaging, and we’re in a much better place, but we’re always going to be watchful. We have our portfolio pretty much fully hedged from a duration standpoint and we have optionality, where roughly 40% of the convexity profile of the agency portfolio is hedged with swaptions, and so we feel good about that, but we’re going to be vigilant and we’re going to make sure we stay on top of any rate moves. Does that help?
Vilas Abraham: It’s very helpful, thank you. Just quickly on prepay speeds, it sounds like you guys are getting incrementally more positive there. Can you just talk about what you see the cadence in the CPRs as being--you know, do we get to a normalized level there anytime soon, or is it still going to be pretty elevated for a while, just maybe a little bit less elevated than you previously may have thought? Thanks.
Ilker Ertas: Sure, Ilker here. Yes, it is very elevated, and in the near term it may stay elevated. The biggest reason for that one is obviously because of the COVID, they made it so easy to refinance, for example electronic form of signing some documents and all that kind of stuff, and recent IPOs, all these non-bank originators becoming extremely efficient, these are all well known. But also, what happened is  very sharply, so they were like a really good collateral. 2018 3.5s and 4s, for example, are like prime borrowers at that point because that was the current coupon rate, and 3s of 2019 likewise, and 2022 , so brand new issued collateral at that point become in the money so quickly and these guys have recently refinanced guys, they know how to refinance, and they are getting calls from brokers.  Also, refinance happens in two channels: borrower calls to refinance, or lender or broker reaches the borrower to refinance, so we do not expect a burnout on this second channel that I’m mentioning, and the reason is that recent IPOs  very high profitable off the refinancing. But we are seeing burnout and we will expect to see more burnout on the first channels, which means that borrower makes the outgoing calls, because if you haven’t called by now, then you have been in the money, more than 100 basis points in the money for over a year, it’s a good bet that you will not be calling soon.  So in the first channel that I mentioned, we’ll be seeing some burnout, and this burnout will show itself in the more seasoned collateral and like more loan balance collateral. As for the overall burnout that we were accustomed to, it will take a little bit longer time, probably end of the year that we will see on the brand-new collateral getting the burnout.  Does it help?
Vilas Abraham: Yes, thank you guys.
David Finkelstein: You bet, Vilas.
Operator: Once again, if you have a question, please press star then one. The next question is from Kenneth Lee with RBC Capital Markets. Please go ahead.
Kenneth Lee: Hi, thanks for taking my question. Wondering if you could further expand upon your prepared remarks about potentially seeing some benefit from a steepening yield curve. Wonder if you could share some thoughts any potential impact to returns or net investment spreads going forward. Thanks.
David Finkelstein: Sure. There’s a couple of components, Ken. I will say from a positioning standpoint, as I said, we do have a modest steepener on. We added roughly $10 billion in hedges in the fourth quarter at the longer end of the yield curve, and we also actually added a little bit very early in the first quarter of this year, so we feel good about the positioning. We’re right around five years average duration of our hedge profile and our mortgage portfolio is roughly half of that, and so from that standpoint, just a pure steepening of the yield curve with spreads unchanged, we would benefit modestly from that, we think. Now, it is somewhat of a double-edged sword because the steeper the yield curve, the more expensive it is to hedge - your pay rate on new hedges goes up while your receive rate stays very low as the front end is anchored. Another point to note is that your hedges do roll down the curve and they roll down at a much quicker pace than agency assets do, so as that roll-down occurs, there is some mark-to-market deterioration as a consequence of that. But nonetheless, a steeper curve would modestly benefit us. Ikler?
Ilker Ertas: Yes, those are very good points, David. Also, a steeper curve helps the option cost a lot on these mortgages. We were talking about burnout, but steeper curve helps the prepayments a lot, and also market segmentation can be really beneficial. As the curve steepens, there will be more opportunities on the coupon swaps, and because of the option cost and there will be also opportunities on the derivatives execution, so steeper curve is most mortgage investors want, and we are looking for that. But we should be very cognizant of the hedging consequences that David mentioned, so as long as we can manage those, steeper curve is very nice welcome for the mortgage investors. 
Kenneth Lee: Great, that’s very helpful. Just one follow-up, if I may. I think in the prepared remarks, you mentioned that you were adding a little bit of duration to the repo book. Wondering if that’s primarily opportunistic, just taking advantage of the current costs, or is there any kind of longer term view towards either extending out the finance maturities or things of that nature. Thanks. 
David Finkelstein: Sure Ken. We have added duration to the repo book - we are now just over three months, and that is attributable to taking advantage of, as I talked about in the prepared comments, one-year rates, for example, inside of 20 basis points. We don’t expect to see a negative rate environment, and as a consequence, to the extent you can lock in funding costs for a year, that close to the zero lower bound, shame on us if we don’t take advantage of it. That’s just simply a function of the fact that rates out the term are incredibly low. As Serena talked about, we did let the repo book run down in terms of average days in the fourth quarter, and that was just simply a function of the desk’s view that with more and more liquidity entering the system and the actual need to lock up cash with collateral, we’ve seen a willingness for participants to term it out just to lock up that collateral at rates above overnight, even though we’re 10 basis points or less between overnight and term, and there’s just demand for collateral in the market that we’ve taken advantage of.
Kenneth Lee: Great, that’s very helpful. Thanks again.
David Finkelstein: You bet, Ken.
Operator: Ladies and gentlemen, this concludes our question and answer session. I would like to turn the conference back over to David Finkelstein for any closing remarks.
David Finkelstein: Thank you, and thank you everybody for joining us today. We hope everybody stays safe, and we’ll talk to you soon.
Operator: Thank you sir. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.